Operator: Thank you for holding, and welcome everyone to the Vertex Energy, Inc. Third Quarter 2023 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I'll now turn the call over to John Ragozzino, Investor Relations. Mr. Ragozzino. Please go ahead.
John Ragozzino : Thank you. Good morning and welcome to Vertex Energy's third quarter 2023 results conference call. On the call today are Chairman and CEO, Ben Cowart; Chief Financial Officer, Chris Carlson; Chief Operating Officer, James Rhame; Chief Strategy Officer, Alvaro Ruiz; and Chief Commercial Officer, Doug Haugh. I want to remind you that management's commentary and responses to questions on today's conference call may include forward-looking statements, which by their nature are uncertain and outside of the company's control. Although these forward-looking statements are based on management's current expectations and beliefs actual results may differ materially. For a discussion of some of the risk factors that could cause actual results to differ, please refer to the Risk Factors section of Vertex Energy's latest annual and quarterly filings with the SEC. Additionally, please note that you can find reconciliations of the historical non-GAAP financial measures discussed during our call today and the press release issued today. Today's call will begin with remarks from Ben Cowart; followed by an operational review from James Rhame; financial review from Chris Carlson; and a review of our commercial strategy by Doug Haugh. At the conclusion of these prepared remarks, we will open the line for questions. With that, I'll turn the call over to Ben.
Ben Cowart : Thank you, John and good morning to those joining us on the call today. We are pleased to report a favorable third quarter for 2023. During the quarter commodity prices increased relative to the prior quarter. Our operations team was able to capitalize on this margin opportunity by running sustained elevated throughput volumes and driving improved yields towards high-value finished products resulting in adjusted EBITDA of $51.5 million for the quarter. Our renewable diesel facility has demonstrated best-in-class yield rates at around 98% while supporting continued operational flexibility allowing us to adjust as needed to qualify a variety of alternative organic feedstock blends. We believe the renewable diesel facility has a proven capital efficient energy transition asset that offers significant value in the face of increasing regulatory shifts towards low carbon energy solutions most notably in California. As these emerging markets transition over the next year we will continue to focus on our key priorities. Number one, completion of Phase two of our renewable diesel project including the expansion of hydrogen production capabilities. And number two continuing to improve on our balance sheet. As it relates to the balance sheet and as previously announced, we have formally engaged Bank of America to act as our financial advisor to enhance our renewable fuels and sustainable products growth strategy and evaluate potential strategic transactions, which could rapidly accelerate our balance sheet improvement efforts. We are pleased with the support they have provided thus far and we look forward to providing potential updates as they develop. As the team will share with you today, our results for third quarter related to safety operations and financial performance demonstrate the team's ability to effectively manage the business in response to ever changing market conditions, while maintaining focus on the ability to generate long-term value for our shareholders. With that, I would now like to hand the call over to James Rhame, our Chief Operating Officer, who will provide an update on our operations during the quarter.
James Rhame : Thank you, Ben. Good morning everyone. I'll start as always with a report on our health safety and environmental performance. The third quarter 2023 was another clean quarter with zero OSHA recordables and zero incidents of environmental noncompliance recorded across the entire company. Additionally, Mobile saw zero process safety events and continue to set all-time site records in EH&S performance. This has been achieved with the focus of the organization during an extremely busy time. I'm very proud of our employees, at every location for prioritizing the safety of the people working within our sites as well as our surrounding neighbors within the communities where we live and work. I must say thank you, to this group of dedicated employees Legacy and Mobile for their continued focus on our core values of caring for one another. Our operations team at Mobile site demonstrated strong operational performance of the conventional facility during the quarter, with average throughput volumes of 80,171 barrels per day for a capacity utilization of 107%, ahead of our previous guidance. Strength in throughput volumes reflect the continued optimization of the company's crude oil procurement strategy to mitigate against potential supply risk. Great job by both operations as well as our marine logistics group, for skillfully navigating these challenges. Total OpEx per barrel for the quarter was in line, with our previous guidance at $3.70 per barrel and reflect a combination of higher throughput volumes, as well as cost efficiencies gained from smooth operations quarter-over-quarter. Our conventional fuels gross margin per barrel during the quarter was $17.56. Our finished products such as gasoline, diesel and jet fuel accounted for 67% of our total product yield during the third quarter of 2023. This was ahead of our prior guidance and reflecting the continued focus on facility-wide yield optimization as we previously described. This focus on enhanced yields of high-value finished fuels covers a wide variety of activities from feedstock selection, through optimization at the individual unit level and in turn maximizing value. This has been a concentrated effort, relying on every function of the refinery to find the means to create the greatest value within the asset. The same approach is being applied at our Marrero facility, focusing on operational excellence and yields to create the greatest value offered by the market. I'm very proud of the whole organization. Now, turning to our renewable fuels business. Vertex's renewable diesel plant operated smoothly, generating total renewable fuel's gross margin per barrel of $4.78 for the quarter. Our renewable throughput volumes averaged 5,397 barrels per day, for a capacity utilization of 67.5% strategically reduced to balance supply economics and support feedstock pathways development.  Our total production of renewable diesel for the third quarter averaged 5,297 barrels per day, demonstrating a renewable product yield of 97.8%. As Chris will highlight in a moment, our crude oil throughput for the fourth quarter, are expected to be down to approximately 70,000 barrels per day due to two factors. Early in the fourth quarter, Mobile performed a total plant outage allowing the local power provider to proactively replace the main electrical transformer that services the site. This replacement was planned and executed successfully under our control to prevent an unplanned electrical outage at the site. The plan has returned near full rates since the completion of this outage. Additionally, during the fourth quarter, there will be a crude unit furnace deco that is planned and scheduled. This scheduled pit stop will be executed within the next month, outside of peak holiday periods. I will now turn to Chief Financial Officer, Chris Carlson, for a review of the company's financial results.
Chris Carlson: Thank you, James and welcome to those joining us on the call today. For the three months ended September 30, 2023 Vertex reported net income attributable to common shareholders of $19.8 million or $0.17 per fully diluted share, versus net income attributable to common shareholders of $22.2 million or $0.15 per fully diluted share in the third quarter of 2022. Included in this quarter's net income, is an inventory valuation adjustment charge of $9.4 million. We reported adjusted EBITDA of $51.5 million in the third quarter of 2023 versus $1.6 million in the prior year period. Total capital expenditures for the third quarter 2023, were $21 million in line with our prior guidance issued on August 8. Turning to the balance sheet. As of September 30 2023, the company had total cash and equivalents including restricted cash of $79.3 million versus $52.1 million at the end of the prior quarter. Vertex had total net debt outstanding of $163 million, at the end of the third quarter of 2023 including various lease obligations and implying a net debt to trailing 12 month adjusted EBITDA ratio of 1.3 times, as of September 30, 2023. Regarding our ongoing balance sheet optimization strategy, we are proactively conducting cost benefit analysis around our existing term loan and potential refinancing pathways in pursuit of more efficient sources of capital. We continue to be opportunistic by cleaning up the remaining $15.2 million of convertible notes outstanding, following our recent cashless equity exchange transaction completed back in June. Improved pricing for conventional fuels during much of the third quarter benefited conventional fuels gross margin, most notably, this uplift in conventional pricing for the third quarter provided a notable tailwind to financial results and was compounded by improved run rates and yields in our conventional fuels business, as James outlined earlier. During the third quarter, we identified the rally in gasoline prices as a substantial opportunity to limit market price exposure ahead of a seasonally weak period for gasoline cracks. As a result, we hedged gasoline cracks covering approximately 27% of gasoline production for the fourth quarter of 2023. Looking to the fourth quarter of 2023, we anticipate total conventional throughput volumes at Mobile to be between 68,000 and 71,000 barrels per day reflecting planned downtime as James noted. Expected yields of conventional fuel products such as gasoline, diesel and jet fuel is expected to be between 64% and 68%, with the balance in intermediate and other products such as VGO. Turning to our renewable diesel operations. We anticipate total renewable throughput volumes of 4,000 to 6,000 barrels per day reflecting 50% to 75% of our total Phase 1 operational capacity. Our yield on renewable volumes is expected to be 97% to 98%. OpEx per barrel on a consolidated basis is expected to be $3.95 to $4.20 for the fourth quarter and we anticipate total capital expenditures for the quarter to be between $15 million and $20 million. I'd now like to turn the call to Chief Commercial Officer, Doug Haugh, who will provide updates on the commercial business and RDs.
Doug Haugh: Thanks, Chris. As James mentioned, one of our critical objectives for the quarter was to expand our feedstock blending to include runs of Tallow, DCO and canola at volumes sufficient to support the data collection required for our LCFS pathway approvals. We successfully completed runs to support our soy DCO and canola pathways in the third quarter and we're finishing up the tallow runs this month. We have also successfully completed our LCFS temporary filings and are pleased to report that we will receive LCFS credits at the default carbon intensity values for all of our RD production in the third and fourth quarter of this year. The next step is to complete our filings for each of the four feedstocks, on which we now have proprietary run rate data and detailed carbon intensity analysis soy, DCO, canola and tallow. This will allow us to receive the increased credit value available with our lower carbon intensity production as compared to the default temporary values. We expect to complete that next step in the LCFS process during the fourth quarter as scheduled. As James noted earlier, RD margins during the third quarter were modest but drove a positive gross profit of $2.4 million for the quarter. This margin environment not only supported us in running at rate sufficient to complete our feedstock qualification process but also to prove our finished product logistics and delivery capabilities to the West Coast. Vessel loading and delivery of our product California markets has now been completed for all of our renewable diesel production to date, successfully validating these critical logistics and delivery capabilities multiple times since commercial production began. These shipments allow us to benefit from the value of LCFS credits for all of our production during the third and fourth quarter and will contribute to the fourth quarter financial performance of our renewables business. The collaboration with Idemitsu, our offtake partner, who maintains the terminal and marketing assets across several West Coast ports has been incredibly positive and productive throughout this process. We really appreciate their support. Another primary focus for our trading and supply teams this quarter was the continued development of our renewable feedstock procurement strategy via the expansion of our roster of reliable suppliers. We have continued to add approved suppliers to our supply chain for soy DCO canola and tallow and have started the sample testing and qualification processes needed to begin bringing in eco supply for multiple suppliers. The testing and regulatory qualification required for these feeds includes the exchange of detailed information on origins and the application of proprietary processes used in the collection and processing. These important considerations assure the consistent quality of feedstock supplies and reflect the significant investment of time and money by our suppliers. So we appreciate and value their efforts as we bring forward this part of our RD strategy by many months. We also continued to build our trading and supply capabilities this quarter with the opening of our new trade floor in Mobile that will support the expansion of our trading supply, logistics and marketing teams. Our trade flows support both our conventional and renewable refining assets, working to maximize profitability by identifying the most attractive opportunities for feedstock supply and finished product sales. Along with this build-out of trading capability, we've successfully entered the marine fuels business with the launch of Vertex Marine Fuel Services, a marketing business in Mobile Bay and surrounding markets. This team of marine fueling experts now offers marine fuels via terminal truck and barge supply. Establishing these commercial teams with trading, supply, marketing, logistics and sales capabilities provides the foundation for us to expand the available margins on our production volumes through the continued development of a truly integrated strategy. As James mentioned, our refinery in Marrero also performed well this quarter and that was supported by a strong performance in both our proprietary collection businesses and our third-party aggregation business. The build-out of our commercial trading and marine fuel services capabilities to support our mobile production, now also supporting the integration of our Marrero production into our finished products marketing. This quarter, we have established the fuel blending and transportation infrastructure needed to optimize portions of our Marrero production directly in our marine fuels marketing activities, which improves our netbacks and competitive position in those markets. In summary, during the third quarter we continued completion of the key commercial milestones needed to advance our renewable supply chain strategy, while also expanding our capabilities to blend, distribute and market our conventional products. My thanks to the team for all the extra work it takes to build new capabilities, while safely and profitably running the current business. Now, back to Ben for a few closing remarks.
Ben Cowart: Thank you, Doug. Throughout the third quarter of 2023, we have worked as a team to bring continuous improvement to each of our tight locations, commercial operations and internal business processes. We know the value of strategic positioning and we have been proactively executing key objectives aimed at scalability and reliability, so we can best position ourselves ahead of the market. We see the renewable demand outlook for California generating strong economic potential over the coming years. The work we continue to do around optimizing our assets, developing feedstock blends, deepening our supply chain logistics, growing our marketing and trading capabilities are how we plan to deliver on our vision of building an energy transition company. We're excited about the renewable opportunities we see ahead and we are committed to our long-term strategy of driving sustainable growth and creating value for our stakeholders. As we conclude, our third quarter 2023 update. I want to thank our team members across the entire business for their relentless contribution. Additionally, I'd like to thank you all for joining us on the call today and for the continued support of Vertex Energy. With that, I'll now turn the call over to our operator for questions.
Operator: [Operator Instructions] Your first question comes from the line of Donovan Schafer with Northland Capital Markets. Your line is open.
Donovan Schafer: Hey guys. I want to start off by asking about the higher production yield you were able to get this quarter -- sorry high-value refined products, the gasoline diesel jet fuel, a good mix at 67% this quarter. You're guiding 64% to 68% next quarter. Before the operational update, you guys had said 61%. And it sounds like you're saying that sort of these operational improvement initiatives behind that. Based on Doug's comments, it seems like there may also be something to do with -- I don't know if it's -- if there's something with the marine fuels business combined with Marrero and the infrastructure of somehow that's getting extended things in some way. I want to know that if you could help me understand the dynamics driving that and if we expect that to continue going forward at that kind of mid to high-60% or if it'd be more typical for it to be closer to 60% or potentially a touch below that in the high-50s?
James Rhame: Hi, Donovan, this is James. Thanks for the question. What we've really spent time on with -- from the factory floor all the way through our technical organization is really focusing on what the yields are, and using the yields and the value delivered by the market to make sure that we're buying the crudes are the highest value to us. And so there is nothing about Marrero in there. There's nothing about it it's straight at the fence line. And it's really been a concentrated effort from trading and supply through our supply team, through operations and technical, and we believe these are sustainable in the range that we described this quarter and in future quarters.
Donovan Schafer: So it's more about the sourcing and lining things up more so than like changes of particular hardware, or some other catalyst type thing or something like that driving that yield piece of it?
James Rhame: We have made some very small – Donovan, we have made some very small capital investments, low-hanging fruit those things that would enable us to improve yields. However, it's not been a huge investment at all. It's really been the focus of the organization and operating well and the advantage you have from operating smoothly throughout the quarter allows you to really dial in the optimization. And that's really how that's been achieved.
Donovan Schafer: Okay. Thank you. And then for my next question, I want to talk about you guys shared a direct OpEx figure for the renewable diesel side of the business, it's meaningfully higher than what you get on the fossil fuel side. I think it was somewhere in the $20 per barrel fossil fuel side, it's $2 to $4 a barrel. Can you just talk through what costs are incorporated in that? Is that -- does that still cover maybe some of the -- I know last quarter you had like $20 million in one-off charges for fixing some of the pump equipment and stuff. Does that get included in some of that? And how should we expect it to trend going forward?
Chris Carlson: Hey, Donovan, this is Chris. Good question. So, I mean, basically what we did at the outset is we took one-third 0 of the site costs and applied it to the renewable diesel division. So what you're seeing is one-third of the cost on approximately 5,000 barrels of production. So as you can imagine as we scale up production that number is going to start coming down. But the best way to look at it would be on an OpEx per barrel for the site. And as you heard we guided for Q4 to be $3.95 to $4.20 per barrel.
Donovan Schafer: Okay, great. Well, thank you guys. I’ll leave it there and I’ll keep the rest of my question offline.
Chris Carlson: Thanks Don.
Operator: Eric Stine with Craig-Hallum. Your line is open.
Eric Stine: Hi, everyone. Maybe just sticking with the direct OpEx first. I mean that's elevated sequentially. Is that just reflecting a number of the projects that you cited, I believe one that you've already undertaken here in October, and the one to come later in the fourth quarter.
Chris Carlson: There may be a little bit of an increase there, but I mean it's not much overall when you look at the total site.
James Rhame: What you have there is pretty consistent with what we've had now that RD is up and running and we got those costs behind us, and it's really just an allocation across those business lines.
Eric Stine: Got it. So this is kind of a -- I mean, this is probably a decent run rate to think about going forward?
James Rhame: Yes, on a consolidated basis, yes.
Eric Stine: Yeah. Okay, good. Maybe just sticking with the conventional refinery here. You mentioned, I think 27% hedging on the gasoline side. Gasoline, obviously, very strong in 3Q. I mean should we think about that that you hedge that close to the peak? Or what kind of price did you lock those hedges in for Q4?
Doug Haugh: Yes. This is Doug here. I wouldn't say it was the peak, but I'd say we were well timed on that overall as we came through the strong third quarter and we're hedged at that -- for that 27%, it cracks substantially above the realized cracks today right through the end of the year. That's going to be -- that will be helpful.
Eric Stine: Yes. No absolutely. Okay. Well maybe, I guess on the renewable diesel side, and I know you're kind of going down the strategic path, and it's still somewhat early, but I'm just curious if you could talk about, in your mind as you sit here today, what your ideal partner looks like. Clearly, you're looking to do something that would include helping the balance sheet. But curious, do you think it's someone who is simply a financial partner? Or is it someone that could be involved in the operational side whether it's feedstock supplier any number of other parties, just curious kind of your early thoughts on that.
Doug Haugh: Yes. I would say -- I don't know, I'd say that there's any one specific criteria that makes it a perfect match. But we are exploring both of those groups of potential partners, one being financials that bring a unique set of strengths and capabilities that could help us that are more purely balance sheet oriented. And then, there is another group of potential partners on the strategic side that could bring not only financial capacity but tremendous support around feedstocks and/or finished product marketing or both in some cases. So, we're pleased with what the Bank of America team has provided and brought forward so far. We're going to run a very robust process. And I think we'll see substantial participation from both of those categories of potential partners and that's been our indication thus far. So it's an exciting development overall. But we're very open and thoughtful about the advantages that either type of partner could provide us.
Eric Stine: Yes. And then, I don't know if you've disclosed it or not, but I mean do you have a -- in your mind do you all have a target for timing whether it's first half of 2024 or something more specific?
Doug Haugh: I'd say that's a reasonable estimate. We're in the early stages of the process now lots of trading of NDAs and the like typical for a process of this type. And it, certainly, expect that by first half of 2024m we've kind of gained a clear understanding of the path forward.
Eric Stine: Okay. Thanks, everyone.
Operator: Manav Gupta with UBS. Your line is open.
Manav Gupta: Guys, first of all thank you for breaking up the RD versus conventional EBITDA. A number of your peers who have been doing it much longer than you still refuse to break it. So it helps with the disclosures. So thank you for that. My first question here is a material improvement in conventional refining from Mobile. You are not providing the capture, and I'm sure it's a very good reason you stopped doing it. So I'm not going to press you on that. But help us understand some of the factors that help you deliver a much stronger EBITDA on the conventional side of the Mobile refinery versus the second quarter?
James Rhame: Yes. Thanks, Manav. Good question. Really, if you look at the second quarter to third quarter, we saw a significant improvement in the overall market. And with that because we were running reliably and really focusing on those higher-value products we are able to capture what the market gave us versus the second quarter. And so, it was a clean quarter from reliability, from yields. In fact, this is very, very good results with the yield profile that we saw. But it was really the market gave it to us and we were there available to capture it. And with that we had significant rate increase across the -- as you can see from the rates and that was all reliability driven. That's continued to be our focus on operational excellence.
Manav Gupta: Perfect, guys. I want to press you a little bit on the path to profitability for renewables. I think you mentioned, LCFS will help absolutely, I mean I'm just saying one of your peers had similar issues struggled a little in the past on profitability but they had a clear path to profitability. And if you look at DINO now they are actually profitable on the RD side. So, help us understand your path to profitability as it relates to the renewables diesel business.
Doug Haugh: Thanks Manav. Good question. Doug here. Yes, it's -- we're very pleased with our progress thus far. We're in no way concerned about the start-up costs and the additional expenses to get the unit up and running. What we're pleased with is the reliability of the unit the yields are fantastic and our ability to flex our supply chain has been much greater than we anticipated. So, one of the problems with the run rate losses coming into the start-up period was we had built up almost 500,000 barrels of inventory because we just -- we didn't we weren't experienced in the supply chains we weren't -- we didn't know how reliable they would be. The last thing we wanted to do is build a big brand new unit and not have the feeds to run it. So, we kind of over inventoried the business if you would but we felt that was prudent coming in. We've had to run off those high-cost feedstocks to get back to normalized inventory levels, which we're at now. And we've been able to really gain an appreciation for the reliability of our supply base in that sector. We've continued to expand the number of suppliers and continued to qualify new feeds. We found that feedstocks have been plentiful and available which we weren't certain of when we started up because we weren't out in the market buying every day. So, we're quite pleased with where we're at. And yes you're right. I mean the path to profitability from here is to continue to drive down carbon intensity continue to maximize the LCFS contribution now that we're in the system to continue to optimize our logistics that we that were brand-new assets for us there in the second quarter third quarter. So, there is a lot of opportunity ahead but we're very confident in the business very pleased with how it's run. The team has done excellent work at the plant in terms of really running the unit well and being able to accommodate tremendous flexibility on our feedstocks, right? So, that's -- you don't you plan for those but you don't know how it's exactly going to work until you do it and we're very, very pleased with how it's turned out.
Manav Gupta: Congrats guys. Based on what you said I'm optimistic that you'll start reporting a positive EBITDA from your RD business somewhere in 2024. So, I'll leave it there. Thank you.
Operator: Noah Kaye with Oppenheimer. Your line is open.
Noah Kaye: Good morning. Thanks for taking the questions. Nice quarter. I wanted to first ask about the process around hedging as it stands today. You're kind of dipping a toe in here opportunistically. It seems hedging a portion of the gasoline production and it's less than 10% of the output. How should we think about your approach to hedging now? Will it continue to be opportunistic? Will you look to make it a bit more programmatic? Help us understand how your thinking on the output has evolved?
Doug Haugh: Yes, great question. I think the I do think we will continue to evolve our risk management strategy to be a bit more programmatic. The team has done made tremendous progress this year as we put the trading and supply teams in place advanced our risk management policies and practices and governance internally and has now a much more structured process to look at the markets forward particularly in the front quarters. We're not yet at the point where we're looking to go put on a full annual strip and hedge out our production at that level, but we certainly are in a position to proactively take advantage of attractive cracks in the front quarter ahead of us. So, we'll continue to do that. We'll continue to evaluate distillates as we speak. Those are in a pretty favorable position at the moment, but also at very, very low inventories as an industry. So, there's a balance there that has kept us from striking those hedges yet. But again just like we did with gasoline, we'll be opportunistic for the front quarter and continue to improve our capabilities and governance around that process as we go forward. And I do think you'll see us start to use that more programmatically in the years forward.
Noah Kaye: Okay, great. Thanks. That's helpful. And then you mentioned that inventories I think specifically on the RD side are a bit more in balance now. It looked like inventory actually ticked up sequentially and so I'm just wondering how you're thinking about working capital here in 4Q. Is working capital going to be a positive source of cash generation? Do you plan to work down inventories, as you're running at a lower throughput rate?
Chris Carlson: Yeah. Good question. Noah, this is Chris. Yeah. We saw a slight up-tick in inventory values. The actual volume did go down quarter-over-quarter. So I know that's a little tricky, when you're looking at the balance sheet. But as we head into Q4, I do anticipate us reducing inventories, so we should see a working capital benefit from that side.
Noah Kaye: Great. Last question, just what is the CapEx associated with Phase 2 of the RD project? And over what timeframe do you anticipate that outlay materializes?
Chris Carlson: Yeah. What we're looking at right now is about $35 million to $40 million and that will be largely during 2024, that that outlay will happen.
Noah Kaye: Thanks. Well, it looks like your balance sheet will be in a much stronger shape for that outlay than last quarter, so well done, nice to see you. Thank you.
Chris Carlson: Thank you, Noah.
Operator: Sameer Joshi with H.C. Wainwright. Your line is open.
Sameer Joshi: Great. Thanks for taking my questions. Just following up on some of the previous questions, is this CapEx for Phase 2 or the beginning of work on Phase 2 dependent on any results from the efforts from the strategic side, where you are trying to monetize some of the cash flows there?
Chris Carlson: No. We're not waiting on the strategic side at all. That's just part of our normal process that we put in place a year ago for Phase 2.
Sameer Joshi: Okay. So irrespective of what happens on that front, you will continue the developments as planned.
Chris Carlson: Correct. Correct.
Sameer Joshi: On the renewable capacity utilization, is the reason to restrain a constraint to less than 75% related to just feedstock availability? Or is it related to uncertainty on LCFS -- or what -- or any other operational reasons? Why is it that we're not doing more than 25% in 4Q now?
Doug Haugh: Yeah. I think the way to look at that -- this is Doug here. Just is the -- one the available margin in the market. So we're going to optimize to that and ramp rates up and down, as appropriate. But the other -- we have just qualified for the LCFS defaults. Those do add certainly margin structure for us compared to where we were in the trailing quarter. Going forward, we'll realize those in the fourth quarter for both quarters actually. So that's going to be helpful. It's definitely not related to feedstock availability. So we have had -- like I stated, we've had frankly a lot more feedstock than we needed. So we're bringing those supply chains in the equilibrium now, but are very confident, because we have originated in a very tight period we still able to originate more than enough feed that we -- to run rates that we wanted to run. So that capacity is available. And if the market commands it we can bring it to bear and raise rates appropriately.
James Rhame: Correct. The unit is running extremely well, also.
Doug Haugh: Yeah.
James Rhame: We've been very proud of the way it's operated.
Doug Haugh: And I think it's important to note that, when you look at the operating cost as allocated, it's really important to understand that we're fully burdening the business unit with all of the cost to run at 14-KDD [ph], right? So we've got all the infrastructure, all the tankage, all the storage, all the transportation capacity, barging and so forth that's built for full rates, because we don't want to wait to build that stuff and then have the unit come up and not be able to run it, right? So the capacity is there in its full sense, not just the available of feeds but ability to manage them ship them, store them, convert them, load vessels to the West Coast efficiently but that comes with a lot of cost burden when you're just starting up at these run rates. So really we've -- you've seen RINs collapse meaningfully. And you haven't seen the feedstock prices capitulate to that re-pricing yet. We believe that it's coming, it started it started in this quarter certainly. But as we see those come into equilibrium, we'll use that opportunity to buy in feeds profitably and ramp rates appropriately.
Sameer Joshi: Yes. I was going to ask you about that as well. So the $4.78 per barrel renewable gross margins do they include any impact of -- or benefit of RIN? And also, if that is a positive number and if your OpEx is being distributed over a smaller generation or yield, does it not make sense to increase to full capacity so that you have lower -- like lower overall OpEx distributed to that unit?
Chris Carlson: Yes. So looking at the $4.78 it does include the RIN. However, it does not include the LCFS credit that Doug mentioned earlier that we expect to get. Hopefully, we'll get it in Q1 and then it is retroactive to Q3 and Q4.
Sameer Joshi: Okay. And then just the last question on slide 16 under asset utilization the last bullet says vertically integrate from feedstock to retail products. What does this relate to which asset does it talk about?
Doug Haugh: That's really integrating the entire supply chain for renewables all the way through our part of renewable, right. So we're not -- we're going back to origin on our feeds. As you go to lower carbon intensity feeds that's now required by the EPA to actually document every individual origin. So you go as an example you got to know the exact restaurant it came from in order to fully qualify and be fully auditable on your origins and test your carbon intensity outcomes, right? So it really is a different type of supply chain than what you have as an example with crude oil running through the conventional refinery. And then, I guess, when you're looking at the other end it also requires us to get access to the consumer market in California, which we're doing with our partner Idemitsu. So, if we didn't have a secure partner that had the tanks in the racks -- truck racks and finished product marketing actually in that market particularly as other production comes online, you could run the risk of getting squeezed out of that retail market and lose access to that additional credit regime. So it's really important that we address it on both ends and that we've got a supply chain that can reach back to specific origins on the feedstock side, and make sure that we can land that product in the highest netback markets and access that end-use market through both from an infrastructure and marketing standpoint.
Sameer Joshi: Understood. Great. Thanks for that, and good luck.
Operator: Jason Gabelman with TD Cowen. Your line is open.
Jason Gabelman: Hey, good morning. Thanks for taking my questions. I wanted to just clarify a point you just made about receiving LCFS credit value. And I think I heard 1Q just now in the press release it says that you'll receive credit in 4Q. So I just wanted to clarify that. And I was wondering if the value you capture is based on LCFS credit prices at the time the volume was produced or at the time you're actually crediting yourself with the LCFS values?
Chris Carlson: Hey, Jason it's Chris here. Yes I guess to tackle the statement on the LCFS credit. We expect to receive the credit for Q3 and Q4. My expectation is the cash that -- when we receive the cash will be sometime in Q4 Q1. Who knows when we will get it exactly as we're dealing with government agencies and timing. So that's kind of where that stands at the moment.
Doug Haugh: Yeah. Just to be clear the filing for the credits is always the following quarter. So we'll file fourth quarter production and imports into California that was produced in third quarter, right? So you're always a quarter trailing. And the commercial value of those credits depends on, how you're executing those transactions with your partners. So when they're actually put in the credit bank and monetize and the terms of which that's done and the price at which that's done, is going to be unique to every party that you talk to depending on their commercial arrangements, with the importer of record into California, which for us is Idemitsu.
Q – Jason Gabelman: Got it. And then in terms of, how much value you're going to generate, if we look at some of the indicator margins of your peers, they suggest the value they get is 0.007 times the LCFS credit price. Is that kind of a ballpark of what we should expect to see reflected in Vertex's earnings?
Doug Haugh: Yes, I haven't done the math that way. But I think the way, we think about it is, we've got a -- on the temporary pathway, for the third and fourth quarter production, which is at a CI value of 65 and 45 depending on whether you're plant-based or waste-based. That translates into a kind of a sense per gallon value for us, on the finished product. Obviously, that's just the starting point. It's helpful. I think Chris, we have an estimate of that at $8 million for the third and fourth quarter coming in.
Chris Carlson: Yes, combined.
Doug Haugh: So that's round math how that will work out. I think the way to forecast it going forward, so when you speak to others in the industry, I don't know where they're at on their kind of CI journey if you would. So the value will increase as the carbon intensity goes down, and you generate additional credits under the LCFS regime. So we believe that our focus right now is getting on the specific pathways. So it's a pretty complicated process, but you move from the temporaries to what's called provisional. So now we'll file our provisional pathways, which are based on our proprietary production, right? So it's the exact carbon intensity, as calculated under their carbon intensity models that you use for car, on our actual production for each actual feedstock. But even for and the reason, I say that is even for soybean oil, it's typically much better than the default value, if you use your actual production values and you're running an efficient facility which we expect that we are. So it's not just the feedstock mix. It's even the carbon intensity values that you're producing at on your conventional feeds as well. So it's going to be beneficial across our feedstock mix, in its entirety not just for the DCOs and tallows, the waste products.
Q – Jason Gabelman: Great. And then my last one, if I could squeeze another one in was just kind of -- I wanted to get your sense on the market outlook for renewable diesel especially, in light of Vertex conducting the process that you are in terms of monetized -- or increasing kind of the value, you're getting for the project. I think a lot of investors are concerned about a potential oversupply next year of renewable diesel and pressure on RIN prices. There's been some volatility in the RIN prices recently. Just wanted to get a sense of your market outlook for the next 12 months, and how you think that impacts at all this process that you're running? And I'll leave it there. Thanks.
Doug Haugh: Yes, I think we're -- I mean we don't materially differ from that -- the challenging outlook that we see. I mean RINs have come off almost 50% that's obviously, very favorable to our conventional business, but it's a headwind for the renewable business. We do actually like the fact that we are more balanced now and have that opportunity to meet our obligation. But really, the anticipation of those margins depends on how fast the feedstocks react to the new margin environment, right? So, as RINs go -- if you look historically since 2016, all the way back to when RD really started to scale you've got these medium periods of volatility where RINs go up, LCFS goes up, feedstocks go up, RINs go down, LCFS goes down, feedstocks go down, but they don't do it in perfect timing. So I think our outlook fundamentally for 2024, is going to depend on how fast is the RD capacity ramp in comparison to how fast the crush capacity on the feedstocks ramps. And we don't pretend to have a crystal ball on that. But we do see tremendous feedstock capacity under development. In our meetings with suppliers, there's a lot of new crush and refining capacity coming online. And there's also a massive influx of imports that the US has never seen before because with these credit regimes we're now pulling feeds from the entire planet into the US at accelerating rates. So that's the push and pull. Obviously, as the production is ramped, the government programs frankly have worked right because they've created the production and they've continued to scale but they have come off as that production ramps up. We're very focused on 2025 in terms of running the process. That's when really our unit is at full capacity, right? So we're focused on the margin environment further out where once the LCFS program is kind of "reset" they published their guidance for that. It's a 75 page [Technical Difficulty] that acted on early next year, which basically puts the glide path in place for California to fully convert. So we're – that builds a lot of confidence on our side that puts kind of a floor into the market, continues to pull those products into California for conversion from conventional to renewable and will create the margin environment long-term for that to be. So that's our focus from a process standpoint is to have a very low cost capacity RD facility at 14 KBD that is feedstock flexible and has continued to improve its carbon intensity quarter-over-quarter-over-quarter both in terms of the feedstock selection and our operating efficiency. So we believe that's what 2024 is about for us and that that provides a tremendous opportunity for our partner to get involved with us in the business as we position that facility for the long-term run.
Jason Gabelman: Got it. Thanks a lot for the color.
Operator: Our final question comes from the line of Brian Butler with Stifel. Your line is open.
Brian Butler: Hi, good morning. Thank you for fitting me in. Quick on the conventional piece based on the midpoint kind of your outlook for the fourth quarter, at current prices what would the gross margin on the conventional and the EBITDA be assuming again pricing doesn't change from where we're at?
Chris Carlson: I think a good question Brian. I think we're all looking to the markets to kind of see where things land. Again, as our guidance as indicated in the last two quarters, we're focused on OpEx per barrel and then CapEx. And it has been – or as James noted, the yields have dramatically improved. So I think the focus on the gas, jet and diesel yield that will give you your best indicator of where we're going to land looking at the forward strip.
Brian Butler: Okay. And then I guess on the hedge piece, how much of that profit have you locked in? Can you give any color on the – maybe the dollar amount?
Chris Carlson: It's hard to say because it's going to move around. You can look to the current filing. And at September 30, I think it was right at $4 million for the gas hedges. But again, that's going to bounce around through the quarter.
Brian Butler: All right. And then looking at the renewable diesel. At the current LCFS or the default and the current RIN price, is the renewable diesel profitable at full capacity? Or do you need – do we need to see the feedstock costs come down?
Doug Haugh: Yes. We're – I would say marginally profitable on the current margin structure. Certainly, as we now get LCFS credits that's helpful compared to where we were last quarter. So that's pushing us to run at a little greater rate than we would have otherwise. But we really see the – I mean for us to ramp to full rates, we'd need to see feedstocks come down in price and have additional margin opportunities for us to chase at that hard all, right? So otherwise, we're going to stick to our plan on really optimizing the lower carbon intensity feeds. We have a lot of technical work that we continue to do within the facility to make sure that again as we run forward certainly through 2024, but as we get to 2025 at full production rates that we haven't left that work to do when the margin environment is there, right? So we just have to be disciplined now get that work done and make sure that we're in a long-term position to maximize run rates and margin opportunities when they're layered. So it's – yes, there's some incremental margin per barrel. I got the earlier question that well then why don't you just run at full rates. But that really puts the facility in a tough position when we're trying to optimize different feedstock blends on a week-over-week basis. And as we're doing all the intense data collection it takes to make sure that we're really optimizing our carbon intensity work on the facility itself. So we're going to maintain reasonable rates. Certainly, if there was really attractive margins then we would ramp rates and run at full rates. But we just haven't seen feedstocks adjust to that cost level where it incentivizes us to do that at this time.
Brian Butler: Okay. And then one last one. On the feedstock optimization how much of an carbon intensity improvement or benefit do you get from running the other feedstocks over the default? I mean is it 50%? Is it 100%? How much of an increase can you see as you put in the new better lower CI score feedstocks?
Doug Haugh: Well, certainly, compared to the defaults we'd expect at least 50% improvement from where your defaults are. So it's going to be -- we don't know exactly like where the soy will land. But if you look at other Gulf Coast processors on their -- even the carbon intensity of their soy production versus the default of 65% I think many of them are in the low 50s. So you pick up -- it's not 50% on that one. But the overall blend when you look at much lower carbon intensity values on your tallows and your DCO in particular. And then obviously as we bring Yugo [ph] to bear all of those are going to result in dramatically lower carbon intensity for the pool.
Brian Butler: Okay. Thank you very much for taking the questions.
Operator: I will now turn the call back over to the speakers for final comments.
Ben Cowart: Thank you, operator. And thank you everybody. Before we sign off here this is Ben. I want to express my gratitude to our team once again for their outstanding work this quarter. In a dynamic business such as ours ability and our agility is very crucial. And I'm confident in our team's ability as they have demonstrated over this past quarter. Moving ahead, we will continue to follow the road map we've established. We're pleased with the capital investments made in these markets over the past few years. I think, we're sitting in a very good place as far as capital efficiency, which we've laid the groundwork now for renewables and we brought together the synergies across our assets from feedstock origination to sustainable products being made from our legacy business. We've enlisted the help of outside experts to model our business over the next five years. We see good long-term value creation. We will remain agile and pursue opportunities to deliver our best to our employees and our stakeholders. We look forward to sharing more as we're able. Appreciate everybody taking the time on this call to lean in to Vertex and what we're doing and we look forward to our call in the fourth quarter end. Thanks.
Operator: This concludes today's call. We thank you for your participation. You may now disconnect.